Operator: Welcome to the James Hardie Fiscal Third Quarter 2025 Earnings Conference Call. After prepared remarks by management, there will be an opportunity to ask questions. Please limit yourself to one question and one follow-up. If you have additional questions, please rejoin the queue. I would now like to hand the call over to Joe Ahlersmeyer, Vice President of Investor Relations. Please go ahead.
Joe Ahlersmeyer: Thank you, operator, and thank you to everyone for joining today's call. Please note that during the course of prepared remarks and Q&A, management may refer to non-GAAP financial measures and make forward-looking statements. You can refer to several cautionary notes on Page 2 for more information. Also, unless otherwise indicated, our materials and comments refer to figures in US dollars and any comparisons made are to the corresponding period in the prior fiscal year. Now please turn to Page 3, where you will find the agenda for today's call. I am joined by Aaron Erter, Chief Executive Officer of James Hardie; and Rachel Wilson, our Chief Financial Officer. Aaron will share key messages for the quarter and provide an update on the business before handing it over to Rachel, who will review our financial performance, detail our outlook and guidance, and speak to our cash generation and capital allocation framework. Then Aaron will return to conclude our prepared remarks before we move to Q&A. I am now pleased to hand the call over to our Chief Executive Officer, Mr. Aaron Erter.
Aaron Erter: Thanks, Joe. Before I begin, I would like to take the opportunity to thank all our employees around the world who work to safely deliver the highest-quality products, solutions and services to our customers. Just weeks ago, wildfires caused immense destruction and absolute devastation throughout the Los Angeles area. As a leadership team, our first priority was to get in touch with our teammates in the region to ensure that all of them and their families were safe and accounted for, and we were relieved to learn that they were. Zero harm is at the forefront of everything we do in our plants and in our offices, at home and out in our communities. Within the span of just a few months, two groups of James Hardie employees have been dealt unimaginably dangerous circumstances, and I am inspired by the resilience our team showed in handling these hardships and proud of how our entire organization has mobilized to support our affected colleagues in their times of need. Our purpose as a company, building a better future for all clearly guides our actions in the wake of such events. From contributing to organizations safeguarding our communities and responding in the aftermath to being a critical partner in the rebuilding efforts. Now let's begin on Slide 4. We delivered strong business and financial results in the third quarter and our year-to-date performance shows that we have a strong handle on our business as we continue to scale the organization and invest to grow profitably. We are executing on our growth strategy, and we are confident that our actions are driving outperformance in our markets and positioning us well to sustain this outperformance. We are winning by partnering with our customers, contractors and homeowners, and this success propels our organization forward and fuels my optimism around the future of James Hardie. We have the strongest team in the industry and the right strategy to go after our material conversion opportunity. Despite a challenging demand environment and intensifying raw-material headwinds, our North American business results clearly demonstrate the inherent strength of our unique value proposition and the underlying momentum in our strategy. Our sales year-to-date were well over $2 billion, which represent a double-digit CAGR over the last five years, in line with our long-term top line growth target. Over that time frame, our adjusted EBITDA margin has risen more than 400 basis points to approximately 35%, and we continue to see an additional 500 basis points of margin opportunity in the years ahead. As expected, business conditions have remained challenging and high interest rates continue to present a barrier to the homeowner. But we remain confident that as affordability conditions improve, demand will meaningfully recover in both our new construction and repair and remodel end markets. We continue to strengthen our competitive position through the current environment and we are deepening existing partnerships and forging new ones. We are in the best position in the industry to continue providing the highest levels of service and deliver value for our customers. This quarter, we continued to build on our track record of consistent delivery of results and we are solidly on track to deliver on our guidance. In North America, we shipped 744 million standard feet of volume, consistent with our expectations and commentary, and we achieved a 29.1% EBIT margin, evidence of our ability to deliver savings through our Hardie Operating System initiatives and focused clutch actions. This has allowed us to sustain our peer-leading profitability even as we continue to invest in future growth. And on a consolidated basis, we delivered $154 million of total adjusted net income with solid performance across our regions. Please turn to Slide 5. In North America, we are outperforming our end markets through our superior value proposition and driving leading margins despite intensifying raw-material headwinds. We are uniquely positioned to address our immense material conversion opportunity and are aligning our capacity to fully service higher levels of demand in the recovery. We are investing across the value chain, growing our contractor base, and accelerating homeowner demand to capture the repair and remodeling opportunity as affordability pressures moderate and demand recovers. Our strategies are driving wins with homebuilders as we deepen our exclusivity arrangements, work to increase trim attachment rates and highlight how our production network creates a competitive advantage that supports their growth plans. In Australia and New Zealand, our strategy remains consistent and focused. We are growing our strong category share across our end markets, doing so through new customer acquisitions and project conversion enabled by deep customer integration. We are driving market-share growth where we have the right to win by influencing the way homeowners build through co-creation and by utilizing the strong James Hardie brand. We are leveraging innovation to accelerate material conversion against brick and masonry and we are optimizing our network for future growth. And finally, we are strengthening our scaled manufacturing operations to drive further efficiencies through our HOS initiatives, which will help to sustain our robust profitability profile. And in Europe, our markets remain challenged and our expectation for a more gradual path to recovery for Germany remains unchanged. However, we continue to focus on our core strategy of driving double-digit growth in high-value products, which we achieved in both the quarter and year-to-date. We have a solid plan to improve our margins in Europe, comprised of purposeful investment to drive operating leverage alongside sales growth and to generate cost savings by optimizing our production footprint and driving efficiencies. Now, please turn to Slide 6 as I take a moment to review our overall strategy. We are grounded in our unwavering commitment to being homeowner-focused, customer and contractor-driven. This is a holistic approach by our teams across the entire value chain. Importantly, we are doing it the right way and not sacrificing on our foundational imperatives, putting safety at the center of everything we do through zero harm, focusing on building a competitive advantage through our sustainability initiatives, driving continuous productivity savings with the Hardie Operating System, and importantly, leveraging the individual contributions and collective power of our people as we invest in our team members and scale our organizational capabilities. Please turn to Slide 7, where you'll find our value-creation flywheel, a visual demonstration of the power of our value proposition. Starting with demand creation, we are the brand of choice for homeowners, customers and contractors, and we achieve this through targeted marketing at each step in our value chain. This includes traditional media to build consumer awareness, collaborations with influencers to further our mindshare with consumers, and leveraging technology to provide homeowners with visualization tools before they purchase. We further build brand awareness through sports advertising, knowing that this is an important channel to reach not only the homeowner but also the contractor. Recently, we made targeted investments across college football playoff games and saw traffic to our website more than double during the games in which we advertise, and traffic correlates to leads. This is an outstanding result and a prime example of our test-and-learn approach to tracking the efficiency of our investments. Turning to innovative solutions. From a product standpoint, our global R&D function plays a vital role, developing new and innovative designs and aesthetics for homeowners to choose. We are simultaneously strengthening our core offerings to continue to capture the material conversion opportunity and improving the efficiency of installation. ColorPlus within our portfolio of innovative and visually appealing products and solutions will play an important role in accelerating material conversion across our end markets. This product line has continued to succeed within R&R, but homebuilders appreciate both the labor savings and homeowner value proposition attributes of the product as well. Even in a year with demand challenges across new construction and repair and remodel, our single-family ColorPlus volumes are up double-digits in both the quarter and on a year-to-date basis. Our innovative solutions and superior product value proposition continue to separate us from the competition, driving incremental growth with homebuilders with national reach. For example, last week, we announced a national multiyear exclusive hard siding and trim agreement with M/I Homes, one of the largest homebuilders in the United States. This solidifies a decade-long relationship making Hardie siding and trim products a standard feature on every new M/I Homes residence where hard siding is installed. In discussing the reasons for choosing to deepen their ties with us, M/I Homes highlighted the superior product aspects that resonate with homebuyers, enhanced protection, superior durability, gorgeous aesthetics and low-maintenance solutions. Our products also continue to rapidly displace vinyl within repair and remodel, leading more and more contractors of significant scale to turn the James Hardie fiber cement as the engine for growth in their business. Take Thompson Creek as an example. Thompson Creek is a major exteriors contractor across six states from North Carolina up through the Mid-Atlantic all the way to New Jersey, offering siding, windows, doors and roofing. Thompson Creek recently announced that they will now offer James Hardie fiber cement to significantly expand their business and grow their share. The catalyst for this decision, simple, homeowners were asking for it, further proof that our strategy of engaging with all stakeholders to pull our product through the channel will continue to drive outperformance. Thompson Creek kicked off our new partnership by selling 30 exterior remodels with James Hardie in the first 30 days, thanks to a powerful collaborative marketing effort focused on highlighting our superior product value proposition through core James Hardie messaging such as imagine the possibilities. I encourage you to check out Thompson Creek's website as it exhibits exactly the type of mutually beneficial partnership that comes from our focus on the homeowner and our drive to grow with the contractor. Next, I'll touch on how we provide best-in-class business support to enable the growth of our customers, contractors and homebuilders. Starting with our contractor loyalty program or as you'll increasingly hear me refer to it as the alliance. This represents everything the program has been in the past and everything it will evolve to be over time. The program takes many different forms depending on what the contractor needs and wants and how forming an alliance with James Hardie can help them achieve their growth goals. Last quarter, I touched on the suite of benefits that our contractors can expect when they join the program, including qualified homeowner leads, training, networking opportunities to enable the sharing of best practices, and recognition and rewards that foster loyalty to James Hardie. But we're often asked how we balance. Using this program to continually reach new contractors and convert them from vinyl, while also ensuring that our most elite preferred contractors of major scale derive ongoing value from our partnership with them. Needless to say, the larger and more aligned the contractor, the more it depends on their business needs, but what is consistent from one relationship to the next is we simply drive value and we drive growth. In our new construction end market, particularly with our national homebuilder partners, our scale represents a key competitive advantage as our localized production footprint aligns with their path of growth. We highlighted this when we announced earlier this year that Meritage Homes, the fifth largest builder in the country, elected to deepen their strong relationship with James Hardie by signing a national hard siding and trim exclusive agreement. We also shared earlier this year that we were recognized as a national preferred partner by David Weekley Homes, representing our 17th award in 20 years. And now our unwavering commitment to this partnership has earned us the privilege of serving David Weekley Homes with an exclusive agreement across our full-wrap product range extending into the next decade. Our strategy is clearly working and we have a strong track record of material conversion against vinyl and wood. We have demonstrated that together, this leads to long-term profitable growth. Put simply, our strategy enables us to capture our material conversion opportunity and our material conversion opportunity in turn drives the continued success of our strategy. Now, I would like to hand it over to Rachel to share more details about our third quarter results. Rachel?
Rachel Wilson: Thank you, Aaron. Please turn to Slide 8. We again delivered results in line with our expectations in the quarter and our year-to-date performance demonstrates that we are managing decisively as we continue to scale the organization and invest to profitably grow our business. Our North American teams delivered a solid third quarter, giving us increased confidence in our ability to deliver on our second-half and full-year guidance for volume and EBIT margin. In the final quarter of the year, we will stay focused on the key strategies that have not only underpinned our financial performance this year but have also positioned us for double-digit growth in years to come, including aligning our spend to the market environment, investing ahead of recovery and evolving our plans to accelerate our market outperformance. In Asia Pacific and Europe, our teams continue to demonstrate a strong commitment to driving outperformance in challenging markets, delivering year-to-date results consistent with our expectations. In Asia Pacific, we are executing well on our strategies and winning by partnering with our customers to own the material conversion opportunity. And in Europe, our portfolio of high-value products is performing well in the early days of our long-term strategy. Across all three regions, our results and strategies demonstrate a commitment to delivering profitable growth. And finally, our strong margin delivery continues to drive our robust cash generation. We are thus able to fund our capital priorities from cash generated by our operations while also executing our returns-driven capital allocation framework. Please turn to Slide 9 for the financial highlights of our fiscal third quarter. Total net sales were 3% below last year's record third quarter, but relatively consistent with our expectations at $953 million globally. We delivered $262 million of adjusted EBITDA in the quarter with an adjusted EBITDA margin of 27.5%. Total adjusted EBITDA declined 7% and margins decreased by 120 basis points. Year-to-date, our adjusted EBITDA margin is down 90 basis points, modestly below our record results in the prior year, demonstrating our ability to manage the uncontrollable impacts of market volumes and raw-material headwinds, utilizing key levers like Hardie Operating System savings and focused cost-control actions. Adjusted net income in the quarter was $154 million and adjusted diluted EPS was $0.36 per share. Let's move to Slide 10, where I will comment on the year-over-year drivers that led to our third quarter consolidated adjusted EBITDA of $262 million. North America drove a $21 million decrease in total adjusted EBITDA as volumes declined due to ongoing demand challenges in our end markets. Our decisions to remain staffed on our plans while investing in scale and future growth are important actions to capture the opportunity as our markets recover. Additionally, we face raw-material headwinds, which further weighed on margins. Within Asia Pacific, our collective Australia and New Zealand business contributed a slight increase in profit in the quarter, but with contribution from the Philippines in the prior year and not in the current year, the segment overall declined slightly. Europe declined by $3 million as underlying EBITDA growth was more than offset by a previously disclosed favorable rebate true-up in the prior year. And finally, R&D and adjusted corporate costs were relatively flat year-over-year with the exception of stock-based compensation expense, which correlates to changes in our stock price. Turning to Slide 11. North America net sales declined 1% year-over-year in the quarter, primarily driven by a 3% decline in volume and partially mitigated by a 2% increase in average net sales price or ASP. From a year-over-year standpoint, the 3% decrease in volumes was comprised of a low single-digit decrease in the exterior products and a mid-single-digit decline in our interior products. In aggregate, we shipped 744 million standard feet in North America in the quarter, a solid result that reinforces our confidence in delivering our second-half and full-year guidance. Consistent with the commentary we provided on our last call, volumes rose sequentially from the second quarter with volumes of our exterior products rising mid-single-digits sequentially compared to a mid-single-digit decline sequentially for interiors. ASP rose 2% year-over-year, primarily related to the realization of our January 2024 price increase with a level of price contribution in the quarter relatively consistent with our expectations. As a reminder, third quarter ASP did not benefit from a recent price increase announced in October of 2024, which became effective in January of 2025. EBIT margin was 29.1%, down 360 basis points year-over-year, including a 110 basis point headwind from depreciation and amortization expense. The increase in run-rate depreciation in the third quarter reflects that Prattville Sheet Machine number three went into service at the end of the second quarter. North American EBITDA was $251 million with EBITDA margin of 34.8%, down 250 basis points year-over-year. Lower volumes and unfavorable cost absorption were the primary drivers of the decrease in profitability. The year-over-year headwind from higher raw material costs also worsened sequentially from the second quarter, consistent with the outlook we provided last quarter and principally driven by mid-20% inflation collectively for pulp and cement. We continue to control the controllable with favorable ASP, cost savings and our focus clutch actions continuing to provide meaningful offsets to raw-material headwinds. Our efforts to align spend to the current environment have helped to bolster our strong margins even as we prioritize investments across the value chain in anticipation of our market's recovery. Turning to Slide 12 regarding our performance in Asia Pacific. During the third quarter, Asia Pacific total segment net sales declined 12% in US dollars, but decreased 13% in Australian dollars, primarily due to a 28% decrease in volumes, partially offset by a 20% rise in ASP. Asia Pacific total segment EBIT margin was 29.3%. EBITDA declined 3% to $40 million and EBITDA margin increased 290 basis points to 33.5%. The decline in net sales and volume and the increase in ASP and margins relates to contribution from the Philippines in the prior year, but not in the current year. As a reminder, last August, we announced that we would cease manufacturing and wind-down commercial operations in the Philippines, but we continued to sell products from inventory throughout the second quarter, after which contribution was de-minimis. As a result, our segment financial results for the third quarter of the fiscal year 2025 overwhelmingly represent sales and profits related only to our Australian and New Zealand operations, whereas the third quarter of fiscal 2024 included a full quarter of results from our Philippines operation. This comparability impact will continue in the fourth quarter and into the first half of fiscal year 2026. Regarding the comparable underlying performance of our remaining business, during the third quarter, Australia and New Zealand together saw a low single-digit decrease in volume and a slight increase in ASP, leading to relatively flat net sales. EBITDA grew and EBITDA margin expanded as cost savings helped offset modestly higher energy costs. Turning to Slide 13. Europe net sales declined 1% in both US dollars and euros, including a headwind of approximately 4 percentage points related to the previously discussed favorable rebate true-up in the prior year. Regarding our local currency sales performance in the quarter, fiber gypsum products were down mid-single digits but were relatively flat excluding the rebate impact. Fiber cement products were up over 20% and high-value products grew double-digits. Volumes grew 2%, benefiting from performance in our high-value products, but remains subdued as challenges remain in our key European markets, principally Germany. ASP, which excludes the prior year rebate true-up, increased 4%, primarily driven by our June 2024 price increase. EBIT margin was 3.1%, inclusive of $8 million of depreciation and amortization expense. EBITDA was $12 million and EBITDA margin was 10.3%, down 260 basis points, but with underlying margin expansion driven primarily by growth in high-value products. Please turn to Slide 14. Our strong margins underpin our cash flow and we funded our capital priorities from cash generated by our operations. Year-to-date, we have generated $657 million of operating cash flow, primarily on the strength of our business performance. We invested $333 million into capital expenditures and have deployed $150 million to share repurchases year-to-date. During FY ‘25, we have continued to execute our pipeline of approved capacity expansion actions. At our Prattville, Alabama facility, we completed the expansion of Sheet Machine number three, which went into service in Q2, and in the fourth quarter, we will continue work on both Sheet Machine number four and the ColorPlus finishing line. In Orejo, Spain, our brownfield expansion remains on track and we are furthering our planning for future capacity expansion projects in North America, including a brownfield expansion in Cleveland, Texas, as well as our Crystal City, Missouri greenfield project. With just six weeks remaining in our fiscal year, we now anticipate FY ‘25 capital expenditures to be approximately $420 million versus our previous range of $420 million to $440 million. This reduction reflects our purposeful focus on aligning our capital investment in capacity expansion projects with our near, medium and long-term demand outlook. In North America, the completion and commissioning of Prattville Sheet Machine number 3 represented a key milestone as this capacity supports our ability to service recovery in our end markets as well as future growth. Construction on Sheet Machine number four continues to progress and this important piece of additional capacity will further reinforce our manufacturing footprint as a competitive advantage and plays an essential role in achieving our medium to long-term growth objectives. Regarding capital deployment, we have repurchased 4.5 million shares year-to-date for a total of $150 million, completing our previously announced repurchase program. In November, the Board approved a new repurchase program under which we are authorized to purchase up to $300 million in shares through October of 2025. In response to current market conditions, we have demonstrated a balanced approach between cost discipline and funding our growth strategies. Going forward, we are well positioned to further invest in growth to accelerate our outperformance while executing on our returns-driven capital allocation framework. Now, please turn to Slide 15 where I will discuss guidance. Consistent with our expectations, end-market consumer demand for exterior products remained subdued throughout the quarter and has trended in line with typical seasonality into the fourth quarter. That said, the variability of our quarterly volume shipments to date has been primarily influenced by three factors. First, as discussed in August, the second quarter saw a brief market adjustment in new construction related to affordability and housing inventory dynamics. Second, as discussed in November, with our recent price increase effective in January, this caused a higher absolute proportion of orders in the third quarter than would be suggested by legacy seasonal trends that were influenced by previous spring price increases. And finally, the timing of when we ship to customers and not when they order from us influences whether volume is recognized in one quarter or another. Importantly, both the strength of our order book in the third quarter as well as the timing of shipments between December and January occur largely as anticipated. So in summary, we have seen relatively stable demand trends over the last six months, leaving our view of the end markets largely unchanged. And from a volume standpoint with another quarter behind us and just six weeks remaining in the fiscal year, we have confidence in the outlook we provided in November and are reaffirming our operating guidance across the board. We are solidly on track to achieve at least 2.95 billion standard feet of North American volume for the full fiscal year, and we anticipate our fourth quarter volume to be approximately in line with the third quarter. Our strong third quarter profitability and continued success in driving cost savings will enable us to deliver North American EBIT margin of at least 29.3%, positioning us well to deliver adjusted net income of at least $635 million. Now, please turn to Slide 16. Before I turn it back to Aaron to discuss FY ‘26, I'd like to provide some additional context around our plans to outperform and drive value in the year ahead and also share what we believe are a few helpful assumptions as we see them today. We are committed to driving profitable growth in our operating businesses and is imperative that we are aligned as an organization around making decisions that drive cash generation, which funds our growth investments and capital return priorities. We've built our near, medium and long-term plans around this organizational imperative. And to maintain alignment between how we communicate externally and how we run our business, we plan to provide guidance for sales and EBITDA beginning with FY ‘26 in lieu of volume, EBIT and net income. To assist in this transition and to reinforce our commitment to also growing EBIT and net income, we are sharing additional non-cash and non-operating modeling assumptions for FY ‘26. These modeling assumptions are presented in detail within today's earnings release as well as on Slide 16 of today's earnings presentation. But in summary, depreciation and amortization expense is assumed to increase around $15 million, primarily related to the impact of Sheet Machine number three in Prattville with substantially all of this increase hitting the first half of FY ‘26. With respect to the amount of interest that is incurred related to our debt, the amount of interest that is capitalized related to major construction in progress and our adjusted effective tax rate, we currently assume that each of these items will be relatively similar to FY ‘25. And now, I'll turn it back over to Aaron.
Aaron Erter: Thanks, Rachel. Continuing on Slide 16. With our fiscal year drawing to a close, I reflect with pride on the resilience our teams have shown throughout FY ‘25. The opportunity in the years to come is substantial and the investments we have made throughout the year are foundational enablers of scale and critical accelerators of our future growth. But this year is not over and our business leaders remain focused on finishing strong to cement a strong foundation for the coming years. Our market demand expectations have not changed, but importantly, neither has our commitment to outperforming our end markets and managing the business decisively to sustain our peer-leading profitability. Thanks to the hard work of our teams and our decision to boldly continue investing, we are set up to sustain our leading position in the industry and accelerate our outperformance. We continue to plan for recovery and growth in both repair and remodel and new construction. Our teams continuously evolve our plans to deliver sustained market outperformance and capture the value that our products demand in the marketplace. While it is still too early to quantify our expected results for FY ‘26, we are planning for sales growth and adjusted EBITDA margin expansion across each of our segments and for the company as a whole. And of course, we remain confident that we will achieve our long-term growth and profitability aspirations. Now, please turn to Slide 17, where I will conclude our prepared remarks. James Hardie's value proposition as a growth company is highly compelling with three primary pillars for shareholder value creation. First, we have the right strategy, one where our success perpetuates driving even greater success. Second, we have bold ambitions and a talented team that delights in pursuing and achieving challenging goals. And third, our financial profile is attractive and will only continue to improve as we diligently allocate capital and work towards achieving our longer-term aspirations. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from Andrew Scott with Morgan Stanley. Please go ahead.
Andrew Scott: Thank you. Aaron, we hear a lot on these calls in the past about the pedal and clutch approach. At the risk of laboring the metaphor, it's hard to accelerate with the clutch depressed, especially when you're traveling uphill. If we do see another challenging 12 months, is there a point we have to make a decision between investing in share growth and maintaining those near-term margins?
Aaron Erter: Yeah. Hey, Andrew, great question. Look, I think we've demonstrated really throughout the last two years our ability to pedal and clutch and prioritize those growth initiatives that are really going to help us with our long-term growth. A couple of things that we never sacrifice on. Number one is our investment in our customer, right? That's something that continues as evidenced by the alliance program and that's going to serve us from a long-term standpoint. The other piece is zero harm. That's just part of our foundational imperatives. But I think one of the things that is rather new as we talk about our business really over the last two years is our Hardie Operating System. And this is something that is not a one-time initiative. This is really ingrained in our culture. It's the way we get things done and the way we get things done more efficiently. So it was really inspired by HMOS, our Hardie Manufacturing Operating System, and how do you permeate the rest of the organization with those same guiding principles. How do we get things done more efficiently? We've exhibited this not only in our HMOS system, right? If you look at this year, what I'm particularly proud of and I have to commend all the manufacturing leaders out there, but also Ryan Kilcullen, who leads our HMOS efforts is we've had lower volumes this year, but our yields have been at record levels. So as much as we think we've reached a certain level of this is as good as we can get, we continually exceed that. Then I look from a HOS perspective on things like procurement, which we just centralized about a year and a half ago, reformulation. So the list goes on and on. So to answer your question, yes, we got to continue with pedal and clutch when needed, but not forgoing investment in long-term growth. But what HOS is for us is to help aid in those investments and also for us to continue to be able to deliver those strong margins without sacrificing our volume growth.
Andrew Scott: Okay. Thank you. And just a second question, just, Rachel, if I can. On the buyback, I think there's some confusion from investors out there. And I appreciate US corporates often take a bit of a different approach to the Aussie corporates, but we're probably accustomed to companies announcing a buyback and then getting into the market as soon as internal governance allows. Can you think it was -- help us to think about how you approach to the buyback more broadly, and then was there anything specific keeping you out of the buyback at the end of the period?
Rachel Wilson: Absolutely. And first and foremost, after funding organic growth and maintaining our strong balance sheet, share buyback is one of our capital allocation priorities. Share repurchases remain an important tool in our toolkit and there's no change in our philosophy around capital return. Our current buyback program authorizes us to repurchase up to $300 million of our stock, as we mentioned through the end of October 2025. We don't have any specific quarterly requirements with that. And as a reminder, we did repurchase $150 million so far this year. And it's our policy generally, however, not to comment on the timing and frequency of our share repurchase programs.
Operator: Your next question comes from Lee Power with UBS. Please go ahead.
Lee Power: Hi, Aaron. Hi, Rachel. Aaron, just on the ColorPlus commentary in your stuff around succeeding. Can you give us an idea of kind of how that's been progressing?
Aaron Erter: Hey, Lee, can you repeat that? I didn't catch that.
Lee Power: It was just your -- you called out ColorPlus, and in the past, you've talked about growth rates for that versus the rest of the market. I think today you talked about ColorPlus succeeding. Can you give us any more incremental color around maybe how that's kind of been progressing given the importance to the business?
Aaron Erter: Yeah. Hey, I got you now, Lee. Hey, just maybe it's good to talk a little bit about the market, right? If we look at the market, I would characterize it, and I was talking to one of our largest customers today is being a bit choppy out there. If you think about R&R, which is our largest segment, it's down high-single digits. New construction is up, we would say double-digits, but trending more towards flat as we get towards the end of our year, and then multifamily is down considerably. And I think the importance of calling out ColorPlus is it really talks to some of the investments in our strategy moving forward, right, particularly focused on R&R. So I will say we're seeing pockets of where we're putting our marketing efforts and more feet on the street, where we're seeing some really good results as it relates to ColorPlus. I think the other thing we've talked so much about remodeling being down for the last year or so is for the first time, we saw remodeling sentiment improve. Really its first increase since Q4 of 2023. So, although the market is down, we always talk about and we will outperform the market and our strategy and our investments really point to us getting ready as that market comes back. So that's the importance of ColorPlus for us.
Lee Power: Yeah. I guess you've called out some good things there with the market and obviously, there's seasonality in your business, and then the price increase potentially shifts between the 3Q and the 4Q as well. I think I heard earlier Rachel talked to kind of a flat quarter-on-quarter volume-outcome into the fourth quarter. How do we process that? Does it sound like from your comments that what the market is continuing to slip more despite your R&R comments? Is that the takeaway from that kind of summary?
Aaron Erter: I don't know that I've said it. It's flipped more. I would say we got some positive news on the screen if you will. Rachel, you want to just handle that.
Rachel Wilson: Yeah. What I'd start with is, look, we had a strong third quarter, which gives us confidence to reaffirm that FY ‘25 guidance, right? And so that's kind of step one. And so we are reaffirming what we had. We have always said that guidance at the low end, it precludes and says that we're not expecting market recovery. So we don't have a change view. And what I noted on the call is that we are expecting Q4 volumes to roughly look much like a 3Q volume.
Lee Power: Okay. Excellent. Thank you.
Aaron Erter: Okay. Thanks, Lee.
Operator: Your next question comes from Keith Chau with MST Marquee. Please go ahead.
Keith Chau: Hi, Aaron and Rachel. First question, I just want to cover off of the margin profile of the business and just noting for your FY ‘26 planning assumptions, you've talked about high single-digit inflation in raw materials, but offset by HOS savings, ultimately leading to margin expansion at the EBITDA level. So just keen to understand perhaps, Rachel, what's driving that high-single-digit cost inflation. We can see it potentially for pulp, but in the other key cost categories is not as obvious. And then what does that actually mean for HOS savings, like what's the quantum we can expect very broadly for FY ‘26, please?
Rachel Wilson: Yeah. So, let's talk about FY ‘26 raw materials where we said we are expecting high single-digit inflation and what are some of the key drivers. Actually, for pulp, absent, we don't know, of course, what's going to happen with tariffs, but absent tariffs, I think we think that will be probably more benign. I think cement is our usual one that we talk about. Alumina and resins are other ones of some of our raw materials that we are looking at FY ‘26 year-over-year. Now having said those expectations, the other important point here is we fully expect that our HOS efforts and HOS savings will offset that inflation. So that is part of more than a mindset. This is something we do every year. And I think as Aaron outlined in his responses, we do feel HOS here is in its infancy and we have strong planning around how we will address this expected increase in raw material.
Keith Chau: Okay. Thank you. And it doesn't sound like we'll be furnished guidance on HOS savings and I can respect that. But perhaps, Aaron, these exercises are ongoing and the challenge always for businesses and programs like this is how do you actually retain those benefits going forward. If the market does come back or costs fall, how do you ensure that the benefits achieved by HOS are retained and the business just doesn't start putting costs back into the business if input costs are moving the other way?
Aaron Erter: Yeah. Hey, Keith, as I said before, HOS is not a one-time initiative. It never ends for us and it's really permeating in our culture at every single function, at every single level. We have targets internally as a company, but also we have targets for each functional group as well. So as we started this, this was really about how do we get things done and how do we get things done more efficiently. And we took the example of our HMOS manufacturing system. So this is not a one-and-done. This never ends. So this is going to continue whether you have challenging markets or when markets come back. This is going to be a way of life for us.
Keith Chau: Okay, great. Thanks very much.
Aaron Erter: Thanks, Keith.
Operator: The next question comes from Keith Hughes with Truist. Please go ahead.
Keith Hughes: Thank you. Just going back to raw materials. If you look at the results of the quarter, the margin compression from -- it's like cost is over price. What specific -- what input causing the most problems like?
Rachel Wilson: So for 3Q, if you look year-over-year, I've been talking about pulp and cement, I think, on every quarter and this is no exception. So when you look year-over-year, pulp and cement are significantly up in 3Q and that is the majority of what we're seeing in terms of that raw-material inflation.
Keith Hughes: Is either one particularly worse than the other?
Rachel Wilson: No, they're both up.
Keith Hughes: They're both the same. Okay. So I guess moving forward, with the price increase that you put into place for January, will we get to the point during the next calendar year where price does offset cost, or are you going to need some of the HOS savings to get to even?
Rachel Wilson: Yeah. And I -- just to distinguish. I think we talk about raw-material inflation in particular, that's something where we really want to look to HOS to help us in particular. But obviously, we also do have pricing as a lever, but we don't price based on cost. We really price thinking about our value. So that's something I also want to make clear that we don't just -- it's not a cost-plus way as we think about how we price.
Keith Hughes: Yeah, I get that. Yeah. I'm just talking, in general, what is the price increase enough and also the -- for example, HOS could be enhancing the margins so do you want to add at all?
Aaron Erter: Yeah. Hey, Keith, it's a good question. I mean, from what we see right now, we're going to be able to offset some of the -- most of the raw materials through re-pricing, right? If those do go up over, right, which they can change, that's when HOS is there to help offset the entire amount. HOS also helps us as we fund growth initiatives, but also obviously helps our margins as well. That's the beauty of it for us. It's an area that we can tap into to help offset price rises in raw materials, but also help us as we try to fund growth initiatives as well.
Keith Hughes: Okay. Thank you.
Aaron Erter: Thank you.
Operator: Your next question comes from Harry Saunders with E&P. Please go ahead.
Harry Saunders: Good morning. Thanks for taking my questions. And firstly, just wondering, despite your comments earlier on R&R sentiment improving, we've seen some very weak R&R comps overnight, calling for the market to be down low to mid-single-digits in calendar '25. So could you just comment on whether you think volume growth is achievable in FY ‘26 if your end-markets were to be down by this much, please?
Aaron Erter: Yeah. Harry, what I would say is we wouldn't put those type of planning assumptions out there if we didn't have confidence in it. And the confidence that we have really goes to what we've been talking about for the last two-plus years is the value proposition that we offer, the entire value chain, but also augmented by the investments that we've been making in that. So, we believe whatever the market does, we're going to outperform it. But we see R&R and obviously, this can change as being more flattish out there and we're going to be able to grow. So that's the planning assumptions that we put out there. So at this point in time, we feel confident of that.
Harry Saunders: Understood. Thank you. And maybe sort of interrelated with that. What sort of primary demand growth expectations do you think you have into '26? And maybe could you talk through the various factors that may influence PDG over the next year, please?
Aaron Erter: Yeah. Harry, and PDG, obviously, as a measure we've talked about for years here at James Hardie. It's best to talk about that extended time period at least a year. So as I said before, we're really confident we're driving market outperformance through the cycle. Part of this too, and I'll let Rachel go through some data, but you have to look at just the sheer amount of wins that we've been having out there, which I think is going to serve us well as we look forward with our business. Think about new construction. Every single time we talk to you, we continue to gain share with homebuilders. Today, we announced David Weekley Homes. We talked about M/I. The list continues to go on and on. And just for your information, we now supply around 80% of all hard siding to homebuilders doing more than 100 homes per year. 80%, right? And those homebuilders are talking about they're going to grow in calendar year '25. And R&R, we're not only gaining important partnerships. We talked about Thompson Creek, windows and siding, the list goes on and on, but we continue to invest in our alliance program, which we're adding more and more contractors day after day. So those are some of the highlights. Rachel, you want to go through some of the data related to PDG?
Rachel Wilson: Yeah. We're not really expecting FY’ 26 to be different than historical patterns. And just to put a little more data around it, if you think about FY ‘23 through FY ‘25, our North American market has been down three years in a row. Cumulatively, though, if you look at our exposure or proportions, as you think about our exposure to single-family, multifamily and R&R, our market with our mix is down about 20% over that three-year time frame. Our volumes, however, are down only 5% below FY ‘22. So if you kind of extrapolate, it says what that indicates is we've had that outperformance over the three-year period, that would mean about by about 5% per annum over this period. So when we talk about that aspiration for market outperformance, again, we always say it's not in a quarter, right? It's over a longer period of time. But we have that demonstrated track record and we expect to continue that, particularly with some of the customer wins and customer experiences that Aaron was talking about as we enter FY ‘26.
Harry Saunders: That's really helpful. Thank you. One final related one, if I may. And just in the context of high single-digit inflation, if markets were to be a bit worse than that flattish you're talking to, say, down low mid-single-digits, and given you've already announced pricing for the year, do you still think you could expand margin within that environment?
Aaron Erter: Yeah. Harry, I don't think we should be speculating on things that aren't happening.
Harry Saunders: Great. Thank you.
Operator: Your next question comes from Matthew McKellar with RBC Capital Markets. Please go ahead.
Matthew McKellar: Hi. Thanks for taking my questions, and congratulations on your announcements with M/I and David Weekley. Just on the back of that, I'd like to ask about your trim attachment rates for new residential business in North America. Can you give us a sense of how your metrics have trended here over the last couple of years and what kind of improvement you've been targeting as you look forward a couple of years out?
Aaron Erter: Yeah. Matt, great question, and thank you for the congratulations. The team has done a fantastic job really partnering with our customers. Look, just very simply, over the last couple of years, we've really been focused on full wrap. So if we think about our trim attachment with all the large builders out there and we talk about some of these deals, most of these new deals that we're talking about include full-wrap solutions. So that's obviously, going to increase our trim attachment as we move forward.
Matthew McKellar: Okay. Thanks for that color. And then next for me, with the threat of tariff issues between the US and Europe, do you see any need to accelerate or assign a higher priority to your plans to build fiber cement capacity in Europe?
Aaron Erter: Yeah, really good question. If we think about what we're doing with Europe, we're pleased with how we're progressing. So I've talked about Europe before. I don't think they have the right strategy in Europe. I think we have the right strategy now, a very simplified strategy that's really focused on high-value products. So those products that are really profitable for us. And it's a fiber gypsum business and also we have a fiber cement business. So very simply, we're focused on fiber gypsum wall and floor and the floor product being very innovative and then our panel product. We need to prove out our ability to win in that market. So we're in the early days there and as we proved that out, I think we'd have more of the right to be able to build a fiber cement plant and substantiate that type of investment.
Matthew McKellar: Okay. Thanks very much. I'll turn it back.
Aaron Erter: Thanks, Matt.
Operator: Your next question comes from Al Harvey with JPMorgan. Please go ahead.
Al Harvey: Good Morning, team. Just quickly on Prattville, just wanted to confirm when the fourth Sheet Machine will come online and if you can provide any detail on how much is left to come out CapEx-wise on that project.
Aaron Erter: Yeah. I'll turn it over to Rachel, but very simply, when we need it. So if we think about Prattville 3 just coming online this quarter. We have Westfield coming on this quarter so all big wins for us. The other thing before I turn it over to Rachel, I think that we're finding and I talked about HOS and our HMOS system is we're becoming more and more efficient with our manufacturing. So in essence, being able to increase our capacity through our efficiency. But Rachel, do you want to talk in more detail?
Rachel Wilson: Yeah. So in terms of Sheet Machine number 4, as you know, we are still in construction, and as Aaron noted, the actual commissioning is dependent on not only the collision and the testing but as well as market demand. So we have Sheet Machine 3 now complete, we've got Westfield complete and continued work. We do feel that we've got a really good ability to support that comeback of the market and certainly over the short-to-medium term. As we think medium to longer-term and that is where some of this other capacity that I mentioned in the call went through in detail will come more into play.
Al Harvey: Yeah, sure. Thanks for that, Rachel. And I suppose just following on from that then I suppose just given that capacity on the organic side, I just wanted to get a sense of how you're thinking about inorganic opportunities at this point in the cycle when you -- yeah, I suppose you do have that firepower, you've got, Cleburne and Crystal City potentially to come through medium-term. So how do we -- how do you guys balance up the two?
Aaron Erter: Yeah. Al, look, really good question. As we think about inorganic, I mean it's part of when we think about our capital allocation strategy, it definitely figures in there, right? Organic first, we want to maintain a flexible balance sheet. We want to return capital to shareholders, and look, evaluating inorganic opportunities. We've made it clear for some time now, I mean, really any potential acquisition has to satisfy three things. It has to accelerate our current strategy, increase our value proposition to our current customers, and then be financially attractive over the long term.
Al Harvey: Sure. Thanks, Aaron. Thanks, Rachel.
Aaron Erter: Thanks, Al.
Operator: Your next question comes from Peter Steyn with Macquarie. Please go ahead.
Peter Steyn: Good afternoon, Aaron and Rachel. Thanks for your time. Perhaps just want to get a bit of a sense, Aaron, of how you're anticipating the R&R market in the context specifically of some of your decisions to take the architectural panel product national a little bit later in the year, presumably that sort of feeds into a general level of confidence in where you're positioned and how the market may or may not support that at a national level?
Aaron Erter: Yeah. Look, I mean, we talked a little bit about R&R, Peter, and some of the indicators out there around R&R that we look at. Look, it's the majority of our business. So, we've obviously been investing quite a bit in that when we think about the entire customer value chain. The panel product, I think you're referencing and we're going to be showcasing that at IBS is a great product that we've done well within in the Australia market. Also, we brought it over to Europe. I think more than anything, we talk about bringing our customers solutions. So, this is just another solution that we can bring to our customers as they think about differentiating and bringing the homeowner what they want. So, it's all about bringing the right solution to our customers.
Peter Steyn: Yeah. And perhaps -- sorry. Maybe I'm getting a little too deep in the weeds here, but that's obviously a pretty high-value product. So how are you thinking about the R&R opportunity in the upper end of the market as opposed to perhaps your bread-and-butter vinyl replacement markets as the year progresses?
Aaron Erter: Yeah. Peter, really good question. Look, as we think about some of the areas that can come back sooner than others as we think about the top of the market. So, certainly being able to bring those type of products to play are our benefit and helps us really to penetrate that top of the market. It's not only things like panel, but if you're out at IBS, you're going to see things like Artisan Lap, right? Those are all very high-end products and really focus on the top of the market.
Peter Steyn: Yeah. Thanks, Aaron. I'll leave it there.
Aaron Erter: Thanks, Peter.
Operator: That is all the time we have for questions today. I'll now hand back to Mr. Erter for closing remarks.
Aaron Erter: Hey, just want to thank everyone for their time, and I want to thank all the James Hardie team members around the world for all they do in helping us build a better future for all. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.